Operator: Good afternoon, ladies and gentlemen, and welcome to the Tractor Supply Company's conference call to discuss second quarter 2011 results. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session, and instructions will follow at that time. If anyone should require assistance during the call, please press star then 0 on your touchtone phone. Please be advised, the reproduction of this call in full or in part, is not permitted without prior written authorization from Tractor Supply Company. And as a reminder, ladies and gentlemen, this conference is being recorded. I would now like to introduce your host for today's conference, Ms. Erica Pettit of FD. Please go ahead, Erica.
Erica Pettit: Thank you, operator. Good afternoon, everyone, and thank you for joining us. Before we begin, let me take a moment to reference the Safe Harbor Provisions under the Private Securities Litigation Reform Act of 1995. This conference call may contain forward-looking statements that are subject to significant risks and uncertainties, including the future operating and financial performance of the company. Although the company believes that the expectations reflected in its forward-looking statements are reasonable, it can give no assurance that such expectations or any of its forward-looking statements will prove to be correct. Important risk factors that could cause actual results to differ materially from those reflected in the forward-looking statements are included in the company's filings with the Securities and Exchange Commission. The information contained in this call is accurate only as of the date discussed. Investors should not assume that the statements will remain operative at a later time. Lastly, Tractor Supply Company undertakes no obligation to update any information discussed in this call. Now I'm pleased to introduce Jim Wright, Chairman and Chief Executive Officer. Jim, please go ahead.
James F. Wright: Thank you, Erica. Good afternoon, everyone. I'm here today with Tony Crudele, our Chief Financial Officer, and Greg Sandfort, our President and Chief Merchandising Officer. Our second quarter and year-to-date results further underscore the structural changes that we have made to our business model over the last few years and our ability to navigate successfully through a challenging environment. We experienced another record quarter, a broad-based strength across the business. We grew sales by 11% with both traffic and ticket positive, and combined with margin improvement and SG&A leverage, earnings per share increased 18%. Now let me go into a bit more detail for the second quarter with respect to our merchandising margin expansion and efficiency initiatives. Our unique mix of merchandise drove our top line. We continue to focus on our core items and were quick to respond as the season evolved. Our consumable, usable and edible, or CUE categories, are core to the rural lifestyle. As a result, we've been able to pass through price increases while maintaining or gaining market share as we managed through this inflationary period. Consistent with prior quarters, these non-discretionary items drove traffic and sales across all eight regions. Our results reflect that we've become less reliant on seasonal big-ticket items. Seasonal weather was a headwind early in the quarter and drought conditions in the south affected approximately one-third of our store base. Accordingly, there was limited demand for outdoor power equipment and reduced demand for repair and maintenance sales in certain areas. However, we are pleased in regions where we experienced normalized weather patterns that our repair and maintenance performance was strong. For the south in particular, I'm proud of how our field and merchandising teams anticipated and responded to adverse conditions by shifting the product assortments swiftly towards items that drought-affected consumers need, such as animal feed and supplements, water storage and water movement products. We continue to make progress on our four key margin expansion initiatives. As planned, we transitioned and did the spring selling season smoothly. We continue to increase our strategic sourcing as we work with partners that provide us with great service quality and attractive pricing. We are delighted with the conversion of our customers to private brands. For example, our customers have continued to respond well to our 4 Health premium private brand dog food. We are beginning to see the positive effects from the initial rollout of our price optimization software. During the quarter, we continued to enhance service to our stores and to our customers. Our in-stock position is as strong as ever, we maintained our disciplined approach towards our [30/300 Program] which is focused on prioritizing inventory food of seasonally top 30 merchandise categories and the top 300 SKUs. Additionally, our distribution center team has done an outstanding job moving through the seasonal inventory despite less than ideal weather conditions and adjusting through the changes as we implement our new warehouse management system. During the quarter, we've decided to slow down the implementation of WMS and move the implementation for one distribution center from late this year to early 2012. The momentum we are experiencing in our business is a direct result of the plans we put in place and our team's ability to execute effectively. We've been very deliberate in tracking trends, anticipating needs and building relationships with our customers and business partners, and this has led to continuous growth for our business. I'd like to turn the call over to Tony to review financial results, discuss outlook, and then I'll be back to share a few additional comments.
Anthony F. Crudele: Thanks, Jim; and good afternoon, everyone. We had another strong performance in our all-important second quarter. Our sales strength remains broad-based and we continue to increase our market share in many key merchandise categories. For the quarter ended June 25, 2011, on a year-over-year basis, net sales increased 10.6% to $1.18 billion, net income grew by 17.9% to $91.2 million or $1.23 per diluted share. Comp store sales increased 4.6% compared to last year's increase of 6.1%. We continue to drive same-store sale increases on top of strong prior-year performance. Non-comp sales were $63.8 million or approximately 5.4% of sales. As Jim alluded to, weather had a very pronounced impact on sales trends in the early part of the quarter as we experienced a late spring in the north and compared to an early spring in April last year. Although this resulted in a negative comp in April, our two-year comparison was still solidly positive. As spring began to break in May, we captured much of the pent-up demand and experienced a solid comp sales increase that continued into June. We are very pleased with the sales acceleration throughout the quarter. Comp transaction count increased 3.1%. This increase was on top of a 6.9% transaction increase last year. We continued to drive footsteps into the store with our CUE items, serving our customers' basic and functional needs, which resulted in more frequent trips to our stores. The trend in the average comp ticket continued to be positive at 1.5% versus last year's 0.7% decrease. Although we had a positive comp in big-ticket transactions, it was not a driver of the average ticket increase. The increase in average ticket was broadly distributed throughout our merchandise categories and was driven by inflation and by the mix within each transaction. We also continued to see acceleration of the comp for our new stores opened within the last four years as they ramped to maturity. We have continued to have broad-based sales strength with respect to both merchandise categories and geographic regions. The strong sales occurred across the entire country as each of our eight geographic regions experienced an increase in comp sales. Sales were the strongest in the northeast and north central regions as spring conditions drove seasonal sales. While the southwest suffered from an extended drought and was the weakest region, we were still pleased with the positive performance it delivered. As Jim noted, we did an excellent job in shifting the assortment to meet our customers' drought-related needs. The best-performing comp categories were our CUE products, principally animal and pet-related merchandise, and various seasonal lawn and garden categories. Although the drought in the southwest made sales within seasonal categories a challenge, we were better merchandised this year and had several product line expansions and new product line -- product introductions that drove the comp sales increase. For the quarter, we experienced a net estimated inflation impact of 220 basis points on top line sales. Inflation was most evident in livestock feed, agricultural fencing and lubricant categories as we saw cost increases in grains, steel and oil. Turning now to gross margin which increased 30 basis points to 34.1%. Direct product margin percent continued to improve as we have been making progress on our strategic gross margin initiatives which include improved strategic sourcing, private branding, price optimization and inventory management. Freight expense increased by 49 basis points over last year. This increase was driven by higher fuel cost than last year, costs associated with increased import activity of seasonal goods, and a mix shift to merchandise with higher freight costs. For the quarter, SG&A, including depreciation and amortization, was 21.9% of sales, which was a 30-basis-point improvement over the prior year's quarter. This improvement resulted principally from our sales growth. We leveraged occupancy for the sixth consecutive quarter while growing the store base by 7.9%. We leveraged several key SG&A categories including advertising, store support center and field management. Incentive compensation was consistent on a year-over-year basis and had a slight leveraging impact on SG&A. SG&A leverage was offset by approximately 10 basis points of deleverage of distribution center costs as a result of the increased product flow during the busy spring season and additional temporary labor costs as we implemented our new warehouse management system. The company's tax rate was 36.7% compared to 37.3% in Q2 last year. The tax rate was reduced by higher federal tax credits compared to the prior year. We anticipate that our full-year tax rate will be 36.8%. Turning to the balance sheet, at quarter-end we had $185.5 million in cash and investments compared to $181.1 million last year. During the second quarter, we ramped up our purchases under our stock repurchase program, acquiring approximately 1.15 million shares for $69.7 million. We estimate the impact of the stock repurchase program on the weighted average earnings per share over the quarter was approximately $0.01. Let me remind you that we increased our dividend by 71% this quarter and increased our share repurchase plan by $600 million. These levers will provide value to our shareholders, and at the same time, we remain solidly tracking to our yearend cash target. Inventory levels per store at quarter-end increased approximately 1.7%. We are very pleased with our inventory position as we enter the summer selling season and in light of the inflation that we experienced which is embedded in the inventory valuation. Year-to-date annualized inventory turns was 3.18 times, almost a 13-basis-point improvement over the same period last year. Capital expenditures for the quarter were $45.2 million compared to $24 million in last year's second quarter. This increase in capital spending related to approximately $18.5 million for the construction of our new distribution center in Franklin, Kentucky. We opened 16 stores and relocated one store in this quarter versus 19 stores opening in the prior-year second quarter. Turning to our outlook for the full year, as a result of our strong performance in the second quarter, we are increasing our financial expectations for the full year 2011. We expect net income to be in the range of $2.75 to $2.82 per diluted share compared to our Q1 guidance of $2.62 to $2.70 per diluted share. We expect full-year sales to range between $4.1 billion and $4.14 billion compared to our previous expectations of $4.0 billion to $4.11 billion. Correspondingly, same-store sales for the year are expected to increase 5% to 6% compared to our expectations of an increase of 3.5% to 5%. I'd like to quickly discuss a few of the underlying assumptions for the remainder of the year included in our full-year guidance. We believe the consumer will remain value-oriented and the CUE categories will continue to be sales drivers. The very positive sales trends that we experienced in June have continued into July. We are optimistic that the late start to spring and the moisture levels in the north in May, we will have an extended spring/summer season. We are very pleased with July sales and they have been factored into our forecasts. We expect that gross margin will continue to benefit from our initiatives. However, freight costs continue to run above our original planned levels as a result of higher fuel prices which will provide headwinds in the second half of the year. Even with the freight as a headwind, we believe that we can drive gross margin improvement in the back half by 20 to 30 basis points, similar to the first half of the year. We believe that weather will not have a significant impact on the second-half sales and we consider to be neutral year over year. We anticipate that we will continue to have inflationary pressures throughout the year; our full-year inflation assumption remains at 1% to 3%. We will begin to cycle against a less inflationary period in the fourth quarter, and thus, we anticipate that inflation will be closer to the lower end of the range and will have less of an impact on the top line in the fourth quarter than the second and third quarters. This inflation assumption is considered in our comp guidance and estimated average ticket. With respect to earnings growth in the second half, we had a very strong Q3 in 2010 and are [cycling] against the 5% comp and a 46% increase in profit. Also let me remind you that this is our 53rd week-year, which adds one week to our fourth quarter. Although we had a strong fourth quarter last year as a result of the additional week, we expect that, year over year, the earnings growth rate in each of Q3 and Q4 will be about the same as you model the back half of the year. We estimate the benefit of additional week to earnings is approximately $0.05 per share. Obviously, the additional week in 2011 will not recur in 2012, and that should be considered for your year-over-year earnings growth when modeling fiscal 2012. With respect to store growth and CapEx, we anticipate that we will be at the high end of our estimate of store growth and capital expenditures. We expect to open approximately 85 new stores and expect capital expenditures should range closer to the $160 million level as a result of the purchase of some leased stores. Year to date, we have acquired three stores for $7.7 million and anticipate a minimum of five to six additional purchases based on the opportunities that are under consideration. We will continue to opportunistically purchase leased stores when we are presented with the right of first refusal, when the economics are accretive to the income statement, and it improves our long-term returns on invested capital. To conclude, we are very pleased with our performance in the second quarter and are proud that our initiatives are driving top line and bottom line increase. We believe that we are well-positioned for another record year in both sales and earnings. Now I'd like to turn the call back to Jim.
James F. Wright: Great. Thanks, Tony. We are confident in our ability to meet our increased financial goals for the year. We believe that the momentum, the solid performance in the first half will carry into the second half. We've demonstrated that Tractor Supply is sustainably capable of continuing to build market share, profitably opening new stores, while increasing return on sales and ROIC. For a number of reasons, we believe our company is a one-of-a-kind retailer. We serve a unique niche. We have a very limited and fragmented competition. We have an experienced, energized and focused management team. At this time, we'd like to take a moment and thank Stan Ruta, my business partner and our Chief Operating Officer, for his dedication, commitment and leadership to Tractor Supply Company since 1994 when the company went public. As you may recall, earlier in the year we announced Stan's planned retirement. For the next six months, Stan will stay with us and handle special projects on assignment. We have effectively completed the smooth transition of his primary store operating responsibilities to Lee Downing who is now reporting to our President, Greg Sandfort. As our business continues to grow, we remain focused on shareholder return through our margin initiatives and balance sheet strength. We're in early stages of benefiting from price optimization, strategic sourcing, private brand development, and merchandise planning and allocation. We expect to exit the spring selling season cleanly despite a late start to the season, the drought, and are preparing for the fall. Our efforts in these areas are further enhancing our profitability and balance strength which is a key to our capital allocation strategy. We remain focused on investing in the business by expanding our footprint with new stores and distribution centers and improving technology and systems. At the same time, we have the financial flexibility to grow while continuing to return additional value to our shareholders. As Tony mentioned, we recently increased our buyback program allocation, and we are buying back 1.15 million shares during the quarter at an average price of $61. We've also increased our quarterly cash dividend last quarter -- or this quarter, by 71%. We believe these actions demonstrate our confidence in our business for the long term. Overall, we're delighted with our performance in the first half and will continue to investing in and executing against our plans. We remain nimble and look forward to an exciting second half of the year and beyond. Operator, this concludes our prepared remarks and would now like to open the call for questions.
Operator: Thank you. Ladies and gentlemen, at this time, if you have a question, you will need to press the star key followed by the digit 1. If your question has already been answered, you may remove yourself from the queue by pressing star 2. Also, if you are using a speakerphone, please pick up the handset before pressing the button. One moment. We'll take our first question from Dan Wewer with Raymond James.
Dan Wewer – Raymond James: Thanks. Jim, I wanted to follow up on your comment about the warehouse management system implementation and, did I understand correctly, you'll be delaying that until the 2012? And maybe you could discuss some, maybe some of the challenges that you're seeing with that.
James F. Wright: Sure, Dan. What we did is we installed the system in our Waco, Texas distribution center and had intended to install one additional unit this year before we install it in our brand-new distribution center in Franklin, Tennessee. We had a little bit of slippage on time as we felt frankly it'd be best to shift our emphasis to the new distribution center in Franklin so that we do not have to bring the entire up to speed on the old system and then convert. So, simply -- nothing more than they have a few weeks of slippage and decision to minimize risk by bringing -- and cost, by focusing on the Franklin, Kentucky distribution center instead of one of the mature DCs.
Dan Wewer – Raymond James: Okay. And then a question for Tony, I just want to make sure I understood the sales guidance for the balance of the year. So it sounds like you're expecting the third quarter comp sales growth to be stronger than the fourth quarter because the fourth quarter will have less of an inflation benefit, but then the reason why the EPS growth rate would be comparable for the two periods is the benefit of the extra week during the fourth quarter?
Anthony F. Crudele: That would be correct.
Dan Wewer – Raymond James: And then finally, just, Jim, for you, I know in the past quarters you had talked about some of the smaller stores that you have opened which could potentially expand the potential number of Tractor Supply stores in the U.S. Could you remind us how many of the smaller stores are now operating and what kind of sales growth they're achieving compared to the traditional prototype?
James F. Wright: Yeah, Dan, I'd be delighted to. First, we anticipate to have a lot more information available probably first quarter of next year, more likely on our analyst meeting. We're spending a great deal of time now assessing the 48 contiguous states to kind of determine the ultimate opportunity. Having said that, we currently have 21 of those stores open and operating. They are, in aggregate, exceeding their sales target and their IRR target and return on sales targets. So we are frankly delighted with the performance of those stores. And beyond the in-aggregate performance, when we look at the over/under, there's very few that are under, and those that are, are very marginally under our initial sales performance. So it's very positive at this point in time.
Dan Wewer – Raymond James: Okay, great. Well, thank you very much.
James F. Wright: Thank you.
Operator: And your next question will come from Vincent Sinisi with Bank of America.
Vincent Sinisi – Bank of America-Merrill Lynch: Good afternoon and thanks very much for taking my question. I wanted to ask about price optimization. Jim, you mentioned toward the beginning of the call that you're starting to see some positive effects from the initiative. If you could just give a bit more discussion around what you've seen so far. You know, lubricants and paint were the first two categories to be analyzed. Just kind of the processes that you're going through, what you've seen there, and going forward, how that will be further rolled out.
James F. Wright: Sure. We are in a test and learn environment right now. I'll let Greg give a few more specifics.
Gregory A. Sandfort: Yeah. Vince, hi. It's Greg. A couple of points to recognize with price optimization, it's a bit of a trial and error as you first start, and you mentioned several categories that we're now testing it in. What we are noticing is that there is price elasticity on the upside. It's also telling us and looking at the relationships of retails within category, within SKU base. And this is something that we could not have done with our past processes. So we believe what will happen over the term of this, and this will be a three to five-year rollout, is that our pricing across categories, across regions, districts and even within stores, will make a lot more sense to the consumer that's shopping in that particular market. We'll also find ways to drive some market share gains as well. We've noticed within one of the categories that, as we moved some price and made some adjustments, that we've actually seen gains in sales, and we believe that's also gaining market share because the units are increasing. So, so far, very, very good response, and we're learning a lot, and there's more to be said as we get further in the year.
Vincent Sinisi – Bank of America-Merrill Lynch: Great. Thank you. And just as a quick follow-up question, just turning to the inventory, obviously up [over the core], but you said that you're comfortable with levels as you're further going to the spring and summer months. Just any color in terms of if there's going to be any changes in your advertising within any of the categories? Or do you think it's really just a case of you had, as expected, a slower start to the quarter and should be working itself out continued going forward?
Gregory A. Sandfort: Vince, you just said it correctly, we do not anticipate any additional advertising as a need for [cleaning through] merchandise. Very comfortable with our inventory levels. As Jim mentioned earlier, we work the inventory levels day to day, week to week, we made the adjustments early when we saw that the business was not developing early enough in the quarter. And as we move into the second half of this year, we feel very strongly that, as we said, the summer season is going to extend a bit, particularly up in the north, and we're well-positioned with the correct inventories and we plan to capitalize on those sales opportunities.
Vincent Sinisi – Bank of America-Merrill Lynch: Okay. Thanks very much, Greg.
Operator: Next we'll go to Alan Rifkin with Barclays Capital.
Helen Pan – Barclays Capital: Hi. This is actually Helen Pan calling in for Alan. I was wondering, how well is underlying demand holding up for your more discretionary products?
Gregory A. Sandfort: Well, I can speak to that for a moment. Discretionary products are not the mainstay of our business overall. We talk about CUE a lot, we talk about [30/300]. We did mention, and I'll reiterate, that the entire store is working today, all four corners. That would include the discretionary components as well. But I would tell you that we're seeing accelerated growth in the CUE and the [30/300]. We have not seen discretionary fall off to any great degree.
James F. Wright: Let me add a little bit to that. If we look at the northern parts of our company where the grass got green eventually and stayed green, even in the OPE category, we're actually pleased with the performance. Obviously as you get into the drought areas, that is not the case, but we really see more -- we see more relationship between weather and demand on big-ticket discretionary than we do anything coming from consumer sentiment.
Helen Pan – Barclays Capital: Okay. And just a follow-up question, did you see any increase in your private brand sales as a percentage of total sales?
Gregory A. Sandfort: Yes, we have. We're very pleased with how our private brand mix in cat foods is performing. I mentioned on last quarter's call about the left-hand side of our store and the emphasis we've had in growing our private brands there, [Jump Smart] and a few other, the products in our lawn and garden category. So we've been very pleased, very pleased with our performance, and we're growing market share in our brands.
Helen Pan – Barclays Capital: Okay, great. Thank you.
Operator: And next we'll go to Brent Rystrom with Feltl.
Brent Rystrom – Feltl and Company: Hey, guys. Just a couple of quick questions. Is there any share buybacks embedded in your guidance?
Anthony F. Crudele: Brent, this is Tony. No, there is not, only what was currently purchased in the first half of the year.
Brent Rystrom – Feltl and Company: All right. And then just a quick question, a lot of the stores told me that, not a major thing, but just out of curiosity, your thoughts on it, that the [nursery shop] program that you put in place this year, a lot of issues as far as the wrong kind of plants for the climate. Does that make sense? That they were seeing the plants that were being sold in the climate area that's say a four rating, were getting plants that were more adaptable to say a six, or a tree that would grow in Georgia was trying to be sold in Illinois. Did you have issues with that?
Gregory A. Sandfort: Brent, this is Greg. Very little issues. It's still a test program. It's, yeah, it's possible that a store could have been mis-shipped by one of the local suppliers. But I'll be honest with you, overall we're very pleased with what we've seen in that performance, and we plan to expand on that if the results at [season-end] continue to be as they are.
Brent Rystrom – Feltl and Company: Great. And the last question then, from an implementation of putting the hay in the stores. Is the hay going to be all on (inaudible) in all stores, or will it be (inaudible) in others?
Gregory A. Sandfort: Yeah, a combination of both, Brent. It's really, it's a space issue that we've had to work through. You'll see some stores with hay in trailers, you know, in the side (inaudible) in the back. So it really is, it's on-demand and it's also in space.
Brent Rystrom – Feltl and Company: Thanks, guys.
Operator: And ladies and gentlemen, if you'd like to ask a question, you may do so by pressing star 1. And your next question will come from David Magee with SunTrust Robinson Humphrey.
David Magee – SunTrust Robinson Humphrey: Yeah, hi, guys. Good afternoon.
James F. Wright: Hi.
David Magee – SunTrust Robinson Humphrey: Just have a couple of questions. One is, do you have any view of the hurricane season this year? Last year, as I recall, is somewhat subdued as far as the impact, say, the southeast and East Coast? Or is it --
James F. Wright: Yeah, this year, as last year, they're calling for above-average number of name storms. Obviously that didn't materialize last year, didn't come to fruition. So we really have no idea. And we have planned to emergency response in our plans the second half. So we if [allotted for] hurricanes, that would be somewhat accretive to our results.
David Magee – SunTrust Robinson Humphrey: Thanks, Jim. And Tony, the -- given what you know now with regard to the early results of price optimization, how would rank the three major factors, the private label, the sourcing and price optimization towards future contributors to gross margin?
Anthony F. Crudele: Yeah, I would say consistent to what we had forecasted earlier in the year and have had discussions on, that the price optimization will have -- will be most impactful early on, and we're very hopeful and optimistic that we'll see some benefit as we move into the second half. But it's mostly more as we move into 2012. The import private label, a little bit more of a slower impact and I think you'll see that more over the next year-and-a-half to two years as that process matures.
David Magee – SunTrust Robinson Humphrey: Thanks. And just lastly, with regard to e-commerce, anything happening there that changes your thinking about what you should be doing towards investment or otherwise?
Gregory A. Sandfort: I can speak to that. As we mentioned earlier, the 3C strategy which is content, commerce and community is the platform we're working from. We are diligent today in bringing the site back into focus against those three things. We believe that over time, and I'm saying this as the next 18 to 24 months, that we will have a more pronounced presence out there on the web with more products, because that's the content piece first, getting the content out there in front of the consumer, having availability for sale. And as we bring into play our ability to be able to transact with drop shipment and as we systematize the special order process, we believe there's nice upside in those two components. I'm just not ready to quantify what that will be yet.
David Magee – SunTrust Robinson Humphrey: Great. Thanks a lot.
Operator: And next we'll go to Matt Nemer with Wells Fargo Securities.
Matt Nemer – Wells Fargo Securities: Hey, guys. Great first half. So, a couple -- three questions. The first question is, given the late spring and summer, it sounds like you're going to potentially hold that merchandise a little longer and the markdown cadence will come a little later. Do you push out fall receipts or you're just going to end up being a little heavy with both at some point later in the summer?
James F. Wright: Matt, we're not going to push out fall receipts, and we're really not heavy as we go on to the third quarter. As we said earlier, we made some maneuvering early on in the quarter as we saw business develop, and we took action. We have already moved through a lot of the categories where we felt we had excess inventories. We're very comfortable actually with where we are and what we believe we'll sell through the third quarter as we get into fourth. So, no great concerns here at this point.
Matt Nemer – Wells Fargo Securities: Okay. And then just broader, from a broader standpoint, as you're planning for the fall weather transition, could you just highlight, maybe give us a couple of highlights in terms of new products or any planogram changes, marketing cadence changes, just so we can be thinking about what to expect this fall?
James F. Wright: Well, I won't give you, you know, all of those things you've asked for; I'll give you a few tidbits though. We just reset our equine area, and the initial response from the consumer and our store people had been just terrific. Customer loves the new offerings, it's an area of the store on the far right-hand side that we've been working on for the last year-and-a-half. Very happy with the results of that. We continue to work our private brand mix throughout that store; I've talked about that earlier. You will see a heavier penetration as we hit the midrange of the third quarter with the receipts coming. And I'm very excited about seeing how the customer will respond to those values. And then again, the business of seasonal, we will transition cleanly, we will have our positioning for the early third and then holiday season in place this year. And I think not only are the assortments more tuned by the region, but I'm confident that the depth of inventory and the full of that inventory is going to be far superior to a year ago. So I believe we're going to see a nice performance there.
Matt Nemer – Wells Fargo Securities: Okay, great. And then lastly, I know this is probably not a huge category for you, but there are some generic flea and tick medicines that are coming to market. I'm just wondering if you're planning on carrying them and what impact do you think that might have on the market.
James F. Wright: We have already several in our assortments. We do plan to pick up one of the new releases, and it may have some impact on the branded product. And we'll just have to wait and see how the customer responds.
Matt Nemer – Wells Fargo Securities: Okay, great. Congrats again.
James F. Wright: Thank you.
Operator: Your next question will come from Mark Miller with William Blair.
Mark Miller – William Blair & Company: Hi, good afternoon. On the increase in the comp sales guidance by a point to 1.5 for the full year, how much of that was stronger sales in the back half of the second quarter versus the strong performance you're seeing thus far in the third quarter? And then to clarify, is there any change in what you would have thought for the fourth quarter previously?
Anthony F. Crudele: Sure, Mark. This is Tony. When we look at the back half, we really look at the overall trends relative to the first half. There was no dramatic change in our planning for the back half. There might be a slight uptick in the third quarter and potentially we increase the fourth quarter as well. When I look at both first half and second half, obviously just from the overall guidance, you can calculate that the back half will be lower than the first half. We do expect both quarters to be positive with the stronger quarter being the third quarter.
Mark Miller – William Blair & Company: It looks like on the incremental sales, that you're projecting a pretty strong drop-through rate to profitability. And my question, follow-up question, is, on the leveraged expense -- leveraged point for expenses for comps, do you expect that still to be in the 2.5% to 3% range, or is that also floating up a little bit? Thanks.
Anthony F. Crudele: Generally it should remain in that 2.5%, 3% range, as we have it calculated. Again there is a productivity lift when it comes to the 53rd week in the fourth quarter that should have a positive impact.
Mark Miller – William Blair & Company: Thanks. And just a final one, can you actually indicate what the private label percent is and what the year-to-year change is?
Anthony F. Crudele: Last year it was approximately 22%, and then I think we just broke through 23%. So, got a point to point-and-a-half increase.
Mark Miller – William Blair & Company: Great. Thanks a lot.
Operator: And moving on, we'll hear from Matthew Fassler with Goldman Sachs.
Matthew Fassler – Goldman Sachs: Thanks a lot and good afternoon too. My question relates to pricing and inflation. Can you talk about what consumer acceptance has looked like? It seems like the pass-throughs have been pretty good. Has that been consistent across categories?
Gregory A. Sandfort: Matt, this is Greg. Yes, I would say that -- what we see is -- and we've talked about this before, how we -- we try to move ahead of the curve of price increase by starting today, let's say, price is moving, and we won't accept that increase for a period of time, and we'll start escalating, moving the price up to where we believe it needs to be once that movement in average cost -- movement in average cost has arrived within our inventories. Now, we watch closely, weekly. We monitor the amount of units that are being sold on all of our key categories, and as part of the pricing optimization flywheel, I guess, as well. And what I will tell you is that when we see any consumer resistant, we will course-correct. But at this point, we're very pleased to say that we're seeing, because of the way we operate, in stair-step, the consumer seems to be accepting and understanding in the pricing. And it's not always that prices are going to go up, by the way. Sometimes we can maintain and offset other places. But not seeing any real resistance at this point.
Matthew Fassler – Goldman Sachs: And it sounds like based on your comments, that the third quarter I guess probably what you anticipate to be the peak in terms of year-on-year inflation, at this stage, I guess based on what we're seeing from vendors and on comparisons?
Gregory A. Sandfort: That's correct. And one of the driving forces, that is not a large part of our business but it is out in other industries, is cotton. Cotton is probably the most extreme of the increases. We've been seeing some increases across the last several quarters within grain and within of course oil products, but cotton will be the one question mark as we get into the third quarter. And then things will start to -- drop back down, I believe.
Matthew Fassler – Goldman Sachs: Got it. Thank you so very much.
Operator: And next we'll go to Simeon Gutman with Credit Suisse.
Simeon Gutman – Credit Suisse: Thanks. Good afternoon. Jim, you had mentioned normalized weather I think in the prepared remarks. Can you talk about comps in the regions where the weather was normalized? And more importantly, the ticket, just to give a sense maybe some of the power equipment was selling there?
James F. Wright: Yeah, we will break it out by region, but what we looked at, as I guess I mentioned, kind of globally. Where we had good solid [late] with solid spring (inaudible) the grass was growing in the north central, northeast, we actually had a good unit increase in [Orion] lawnmowers and we had a nice mix, positive mix adjustment in [Orion] lawnmowers as well.
Simeon Gutman – Credit Suisse: Okay. And I guess, is it safe to assume that ticket would be higher then as well if you're seeing higher units in that category --
James F. Wright: Actually our ticket was up across the chain.
Simeon Gutman – Credit Suisse: Right. But in regions where I guess, call it normalized weather, not speaking specifically to any region, but kind of directionally.
James F. Wright: Right. That would be correct.
Simeon Gutman – Credit Suisse: Okay. And then second, I think in the press release, you mentioned on the expense side that there were some control on the occupancy and advertising lines. Can you talk about that, whether those controls were in place beforehand, meaning you're looking to sort of increase the leverage rate over those in response to the way the sales plan was developing in the quarter?
Anthony F. Crudele: Yes. I mean -- this is Tony -- we quickly adjusted, when it came to the marketing plan and based on the sales trends early in the quarter. And what was good about our plan was that even as we pulled back on some of the expenditures to get an additional leverage, we continued to drive traffic and drove it right into the, really, the strong pent-up demand in the May and June timeframe. So we felt that not only did we get the traffic, but we were able to control that expenditure. We did look at a lot of the discretionary expenditures as we moved into the quarter and managed those as effectively as well when it comes to some of our general and administrative expenses.
Simeon Gutman – Credit Suisse: Okay. Thanks.
Operator: And once again, ladies and gentlemen, if you would like to ask a question, you may do so by pressing star 1 on your telephone keypad. Your next question will come from Adam Sindler with Deutsche Bank.
Adam Sindler – Deutsche Bank: Yes, hi, good afternoon, and also congratulations on a good first half of the year.
James F. Wright: Thanks, Adam.
Adam Sindler – Deutsche Bank: Understandably, you guys don't want to talk about the regionality too much, but just to help us sort of get a sense as to, I guess just looking at the ticket, you know, most specifically fell off mid to high single digits to a low single digit. What gives you the confidence that that would ramp going into the back half of the year given that comparisons remain in these levels? And then maybe if you could just, you know, what was impacted most by the weather and sort of how that played out between sales and gross margin. Because I know that the drought-related items have a higher margin but lower ticket, and then in the northeast it was sort of the opposite of that. So, just sort of how it all played out.
James F. Wright: Let me -- Greg and I will each answer a piece of that. You're absolutely right, that we responded well in the drought areas, I think supported that business very well. Our customers did lower ticket business at higher margins. I think what's most important to think about our business going into the second half is that the composition of our business and the composition of what drives big ticket is very different in the second half than it is in the first half. The first half is very dependent on the OPE category for ticket increase and the second half is much more dependent on heating, you know, stoves, furnaces, and while it's not what we'd declare a big-ticket item, it's a well above average ticket item, and that would be insulated outerwear. None of which we saw in the first half.
Adam Sindler – Deutsche Bank: Right.
Anthony F. Crudele: In addition, moving to the fourth quarter and the -- course cattle aren't out and grazing, [the P] becomes more prevalent relative to the sales level as a percentage of sales. And obviously that's been a very strong chute for us. So generally, as we move into the back half of the year, we're less dependent on some of the outside variables that [will drive] the business.
Adam Sindler – Deutsche Bank: Perfect. Thanks. Appreciate it.
Operator: And next we'll go to Christopher Horvers with J.P. Morgan.
Mark Becks – J.P. Morgan: It's actually Mark Becks on for Chris. First question, you called out weather as being a headwind. Did you quantify that or have any guess, suppose, how significant it was in the quarter?
Anthony F. Crudele: No, we did not provide any ranges and it'd be very difficult to do, as we try to quantify sort of the shift between the two months of April and May. The one thing that we have noticed is that it's digging up to a very late start it accelerated tremendously in May and it continued to be very strong in June, which gives us a lot of optimism that that season will continue longer than what we normally would consider as sort of that spring selling season. And obviously as we moved into July, that trend has continued. And so we feel very optimistic that we'll regain a lot of the sales that were lost because of the cold weather in April.
Mark Becks – J.P. Morgan: Just looking at the big acceleration in the [May event], have you guys just never disclosed what the mix is by quarter -- or excuse me, by month, so, from April, May, June, what the split is there?
Anthony F. Crudele: Relative to comp sales, no, we don't -- we give general direction, but we do not give specific comp trends on a month-to-month basis.
Mark Becks – J.P. Morgan: If we were to think about the mix being, say, 20, 35, 40, 45, does that seem realistic or -- in terms of percent to total?
Anthony F. Crudele: Are you talking about the three months?
Mark Becks – J.P. Morgan: Yes, so just looking at the contribution by month to the total, have we thought about April being 20%, May 35%, and June 45%, does that sound realistic?
Anthony F. Crudele: No.
James F. Wright: No. Does not.
Anthony F. Crudele: The norm is that generally April has the strongest sales per week, with May being second, June being the weakest, but June being a five-week month, generally there's a fairly equal distribution between April, May and June. So you can look at it that way in a normal weather environment, you would look at it sort of generally flat between the three months.
Mark Becks – J.P. Morgan: Okay. And then just looking at how it sort of transpired this year, does that seem realistic based on how it was this year versus historicals?
Anthony F. Crudele: No. Clearly weighted to the back half.
Mark Becks – J.P. Morgan: Okay. Thanks.
Operator: And at this time, there are no further questions. I would like to turn the call over to management for any additional or concluding remarks.
James F. Wright: Great. Thank you very much. There's an old military saying that the greatest battle plan changes when the first shot is fired. If we look at Q2, our actual plan, mix of business, mix by region, that is certainly the case. I'm extremely proud of this team in their ability to anticipate the change in dynamics, to respond to those dynamics, and to land yet another record quarter. So, very pleased with that. A number of years ago, had we experienced the late spring and the drought, how we would not have reported the strikes that we just are pleased to report. That and the fact that we have a very good momentum going to the second half makes me feel very confident in the continued development and success of the company. I thank you all for being on this journey with us and look forward to talking to you at the end of Q3.
Operator: Ladies and gentlemen, that does conclude our conference call for today. You may all disconnect. And thank you for participating.